Hugh Duffy: Good morning, everyone. Thanks for joining us. Our presentation this morning will commence with me, Group CEO, Brian Duffy. I'll be taking you through our first half highlights, talking about our growth initiatives in the first half. I'll then be followed by our CFO, Anders Romberg, who will give you more detail and color on the numbers. Then me again to give you a bit more background on our growth pillars and where we stand, and then we'll open things up for your questions. So the top line numbers for the first half year that ended in October, our sales is GBP 845 million. For the half, we were up 10% in constant currency for the group, driven by a very strong performance in the U.S., plus 20% in U.S. dollars. U.K. was decent at plus 5% when we adjust for the store closures that we had last year. All in all, a good half year in terms of sales. In terms of profits, EBIT came in 6% ahead of last year at GBP 69 million in constant currency. Our leverage is 0.6x, EBITDA leverage to debt. Our free cash flow of GBP 48 million was 71% better than last year. Our expansionary CapEx, GBP 37 million following all of our projects. I'll be talking more about in detail as we go through. We completed our GBP 25 million buyback, GBP 14 million were actually going through in the first half of this year. At ROCE, we were up 80 bps at 17.3%. So our pillars of growth much delivered first half year numbers. Showroom investment, both new projects and refurbishment of our existing network. We spent GBP 37 million in total. We completed 8 projects in the half year. We've already done 6 projects in the start of the second half, obviously getting ahead of the holiday period. We applied disciplined hurdles in terms of payback when you look at all of these investments. And as usual, we have a strong pipeline going forward. Certified Pre-Owned has been a really strong business for us, strong both in the U.K. and in the U.S. Rolex Certified Pre-Owned has become our #2 brand in both the U.K. and the U.S. Non-Rolex Certified Pre-Owned is also going well, and clearly well established in this growing category. Ecom, we're delighted with our ecom results that we've had in the half year, up 17% in constant currency. We had good year-on-year growth in the U.K. and then very high levels of growth in the U.S. where we're coming from a smaller base, and having invested in resources in the U.S., both a localized team and a conversion to Shopify platform. So I'm very confident about ecommerce and the prospects that we have for growth. Luxury branded jewelry, clearly, our #1 focus is Roberto Coin in the U.S. where we had a very strong half year at plus 16% in wholesale. And everything about Roberto, we love, there's been a great response to the campaign that we've done with Dakota Johnson. We'll be opening 3 boutiques in November, December and January, and we've launched a new website on Shopify. Here in the U.K., Mappin & Webb Luxury Jewelry Boutique in Manchester, St. Ann's area, we got opened successfully. In terms of acquisitions, our focus clearly last year has been on Roberto Coin and Hodinkee in the U.S., both going well, both really well positioned for growth. And of course, we continue with our discussions and opportunities on further acquisitions in the U.S. market. Client-centric excellence, something that we've always done at Watches of Switzerland Group. The opening of Rolex Bond Street last March really gave us the opportunity of stepping up our focus on clients. We did an extensive training with our team there that allowed us to redefine our Xenia program and Xenia 2.0. And it's working very, very well in Bond Street. We have a Net Promoter Score, as you can see, of 94.5%, which is very, very high. And we're now taking this program and applying it through all of our store network. Additionally, we stepped up our events program, both here in the U.K. and in the U.S. really focusing on our top clients and collectors, and more about that later in the presentation. Now over to Anders.
Lars Anders Romberg: Thank you, Brian, and good morning, everyone. I'm Anders Romberg, CFO for the group, and I'll now take you through the financials. Starting with the income statement. This is presented on a pre-IFRS 16 basis and excludes exceptional items. The reconciliation to the statutory numbers are included in the RNS. Our revenue was up 10% versus last year in constant currency or 8% at reported rates, driven by strong U.S. performance. Net product margin for the half was 90 basis points down versus last year, reflecting adverse product mix and a reduction in brand margins due to U.S. tariffs. Our adjusted EBIT for the half was GBP 69 million or plus 6% compared to last year at constant currency or 4% as reported. This gave an adjusted EBIT margin of 8.1%, down 30 basis points from last year due to the net margin rate decline as just mentioned. This was partially offset by leveraging showroom costs and overheads. The effective tax rate was 27.5% for the half, a reduction to last year driven by lower levels of non-tax-deductible items. Our adjusted EPS was 19.6p, an increase of 8%. Statutory profit before tax of GBP 61 million increased by 50% on last year, as prior year statutory profit was impacted by noncash in parallel. With statutory basic EPS improving by 57% or 6.9p per share, benefiting from the share buyback program, which completed this year. Looking at the breakdown of sales in the half, the U.S. was the biggest growth driver. U.S. retail was up 21% in constant currency with robust demand across brands and categories, supported by the expansion of our showroom network. In the half, sales was driven by good volume growth as well as some pricing on average about 4%. We're pleased with the performance of Roberto Coin wholesale with sales growth of 16% in constant currency. There's been a positive market response to new product and the advertising campaign that we launched at the start of the year. U.K. sales grew by 2%, but was impacted by the showroom closures we made around year-end last year. Adjusting for showroom closures, new figure with 5%, a resilient performance in a challenging market, underpinned by the stability of the luxury watch segment and the success of our flagship boutiques. Across both markets, our ecom business continued to do really well and grew by 17% in constant currency. The Rolex Certified Pre-Owned program is doing well and is now the group's second largest brand in terms of revenue. The first half adjusted EBIT came in at GBP 69 million or plus 6% on last year at constant currency. Adjusted EBIT margin was 8.1%, which is 30 basis points down on prior year due to product margin rate decline, partially offset by leverage of fixed costs. The U.S., including Roberto Coin wholesale is the major growth area. And on 48% of group sales, it represents 59% of adjusted EBIT. U.S. retail had product margin contraction due to U.S. tariffs, but this was offset by leveraging the fixed cost base. In the U.K., product margin was impacted by adverse product mix with limited leverage on cost base. Roberto Coin wholesale had an increase in marketing costs due to the production of our new advertising campaign. Product margin remained stable over the half. As shown, Roberto Coin wholesale is quite accretive for the group's profitability. We've delivered strong free cash flow in the period of GBP 48 million, which was up 71% from prior year. Free cash flow conversion was 53%, and I'm expecting the free cash flow conversion for the year to come in between 65% and 70%. Adjusted EBITDA was GBP 91 million, an improvement of 4% year-on-year. In constant currency, it was up 7%. The working capital outflow was GBP 30 million represents the seasonal build of stock for the holiday season. We expect the working capital build to unwind in the second half in line with seasonal trends. We continue to invest in the showroom expansion and refurbishment program, which drives long-term sustainable sales growth. In the first half, our expansion or CapEx was GBP 37 million, and our full year expectation is between GBP 65 million and GBP 70 million. The final payment for the Roberto Coin Inc. acquisition was also made in the half, and we completed our GBP 25 million share buyback program. Our balance sheet shows continued strength. Inventory increased to GBP 503 million, an increase of 5% versus last year, reflecting the higher average unit cost of stock from gold prices in U.S. tariffs. Underlying terms continues to improve. It's important to remember that there is no obsolescence risk in the inventory and very low cost of storage. The reduction in payables is driven by timing of supplier payments. Our net debt was GBP 112 million at the end of the half, a reduction of GBP 8 million from prior year. This gives a net debt to adjusted EBITDA leverage of 0.6x excluding leases. Just a reminder of our capital allocation policy, which was set to optimize capital deployment for the benefit of all stakeholders focusing on long-term growth. We continue to prioritize growth in our business through investment in our showroom expansion. We expect to spend between GBP 65 million and GBP 70 million in this fiscal year, with GBP 37 million spent in the first half. Second is, strategic acquisitions are a key pillar of our growth strategy. Acquisitions must deliver return on investment in line with our disciplined financial criteria within an appropriate time frame. We'll continue to maintain balance sheet flexibility and to be opportunistic for investment in acquisitions and showroom developments. Surplus capital above and beyond the requirements for these investments will be returned to shareholders. We were pleased to complete the GBP 25 million share buyback program in the period. The second half of the year has started well. We're trading in line with our expectations and are well-placed as we enter the holiday trading period. Today, we are reiterating our full year guidance of 6% to 10% revenue growth at constant currency with an adjusted EBIT margin percentage flat to 100 basis points down on last year. As noted previously, capital expenditure is expected to be between GBP 65 million and GBP 70 million. Our guidance reflects that FY '26 is a 53-week year. It includes visibility of supply of key brands, and it reflects confirmed showrooms, refurbishments, openings and closures, but it excludes uncommitted capital projects and acquisitions. With that, I'll hand you back to Brian.
Hugh Duffy: Thank you, Anders. Just again, a headlines of our growth drivers for our business, showroom investment, Certified Pre-Owned, ecom, luxury branded jewelry, focus on acquisitions and clearly, our focus on our clients. In terms of showroom investment, looking firstly at the second half of last fiscal year that clearly benefits this full year. The center piece of our program from the last fiscal year was obviously the opening up the flagship Rolex Boutique in Bond Street. It's been a great success. It's exceeding our expectation, and the client feedback about it is absolutely fantastic, 4 floors of retailing, 1 of Certified Pre-Owned, then we have a service area and then 2 floors of regular retailing. The team are fantastic. The client feedback really couldn't be any better. Looking at some of the other projects that we did in Tampa, Florida. We relocated to an enlarged space, and that really is the best space in the malls between LV and Tiffany and a wonderful presentation of Rolex and the other brand partners that we have there. Our Betteridge store in Colorado and the ski resort of Vail, we again took the store next door, allowing us to expand the presence of everyone there, including Rolex, as you can see, beautiful alpine design. At the bottom there, you can see Lenox in Atlanta, Atlanta, Georgia. This was previously a multi-brand space for us with a very nice Rolex shop-in-shop. We were so successful with Rolex that we agreed to convert the entire space to Rolex boutiques, now 3,000 feet. It's fabulous and really doing good. We love the town of Atlanta. And I'll show you later what we did with the brands that we effectively displaced in the multi-brand. Top right is Jacksonville, Florida. We had come out of Jacksonville because of the location wasn't ideal. It took us a bit of time to get back in again, but it was worth the wait, as you can see from that store top right that we opened in February. Bottom right is our first venture into Texas. We love Texas as a market and as a state. We had bought a store that didn't have Rolex or Cartier and other top brands, and we now do in this wonderful execution that we have of Watches of Switzerland that opened back in March. Looking then at the first half of fiscal year '26, we opened this beautiful house, the Manchester in King Street. It's spectacular. It's a joint venture with our partners from Audemars Piguet. We refurbished and expanded in Goldsmiths Kingston. The next one along is the oldest Rolex retailer in the world in Newcastle in Blackett Street, which we refurbished and expanded the retail space in July '25. That's spectacular. The multi-brand in Mayors in Atlanta, which we displaced with the Rolex Boutique, we effectively opened a multi-brand directly opposite as you can see here in August '25. Also in August, Mappin & Webb Cambridge, we expanded in September '25. Merry Hill in Birmingham, again, we expanded the new luxury jewelry boutique in St. Ann's opened in September as did relocation of our Goldsmiths in Peterborough. So the second half, we've been very busy with the opening in the last week of October in Southdale, Minneapolis. A beautiful store, doing well. We've relocated our store in Sarasota, Florida in November. Back here in the U.K., Goldsmiths Oxford, we expanded and converted in November '25. Mappin & Webb Birmingham actually opens this week, an expansion and a conversion. Bottom left, also opening this week as the new multi-brand space in Terminal 5 in Heathrow, directly adjacent to where Rolex currently is. I'd mentioned already the mono-brand stores for Roberto Coin, one opening in November in Hudson Yards, New York in December, in fact, this week, in Las Vegas, and then Miami will open in January. And then in my hometown of Glasgow, we are doubling the space of the Rolex boutique. Work is underway and that should open hopefully, early summer '26. And then bottom right, will be the new Terminal 5 location for Rolex. Work is underway here again in terms of design and planning, and our hope is to get this open also for summer of '26. It clearly is a multiple in terms of size and impact versus where we are today, so that will be spectacular. Certified Pre-Owned continues to do very, very well for our business. We're now well established in this category. We've managed margin well throughout this time and our 2 years into the program. We run all of our Rolex stores in the U.S. We run 26 showrooms in the U.K. And as we continue with our various projects, we will be in all stores in the U.K. So a lot more to come from Rolex Certified Pre-Owned. Ecom, we feel very good about the decisions that we've made. We're up 17% as a group overall. We have a new website and we're converting all of our websites to Shopify in the U.S. Watches of Switzerland is up and running on Shopify. And Roberto Coin up and running on Shopify and the other phase here will happen in the months ahead. Within Pre-Owned, we can offer Rolex Certified Pre-Owned, as you see here, which clearly is an important destination for the Rolex shoppers. You can also see Cartier here, which is our best-selling brand online, both U.K. and U.S. And then in the middle, you can see Hodinkee exclusive that remain available online in the U.S. We've also added other brands as we've gone, and there's a lot more to come from ecom business, both here in the U.K. and particularly in the U.S. Roberto Coin, we love everything about the brand. And you see here some great images of Dakota Johnson, the campaign that we launched in summer and really only kicked in, in the fall and holiday season that we're in now, but great response to the campaign both from end clients and from our wholesale customers. We've been working with the teams in the U.S. about expanding our space in Roberto Coin in-store, both in top department stores and in top independent stores, and that's going very well. Our designers and architects in the U.S. worked with our teams in Italy to come up with a new showroom and shop-in-shop designs, which look great. We've expanded the presence of Roberto Coin in our Mayors stores, which I'll show you shortly. We have the new website and we're also working on opportunities of product merchandising. So a lot of growth initiatives for Roberto Coin. This is to show you how Roberto Coin was presented on the left-hand side in the Mayors stores. It was a great success in Mayors, it was very productive and going very well. But having now moved it to the space, you can see you on the right, that clearly is a huge elevation of the brand. We've actually increased productivity and we've more than doubled sales. So this is good clearly for our business overall, but it's also good as examples that we can now take to our wholesale partners and look to introduce shop-in-shops in other stores. Mono-brand stores that we are in the process of opening. Top left is Hudson Yards, New York, which has opened, has been open for 2 weeks. All going well. The right-hand side is the Forum Shops and Caesars in Las Vegas. We'll open this week. At bottom left is Miami Design Center, which will open in January. This is the website that looks fantastic, very, very user friendly, very easy to navigate, very easy to find your product or to find out information on the brands, great videos both of Dakota Johnson and great videos from Roberto himself about his inspiration and background and product clearly. And there's been a fantastic response to this new website. The luxury branded jewelry boutique in St. Ann's, we opened in September. We had a great event in October, as you can see from the image on the left. It's a fantastic location, listed building and a great response from our clients. On the left, you can see how the Rolex store looks already for Christmas time, and Bond Street looks really spectacular and continues to trade very well and ahead of our expectations. We've been doing wonderful events there, the highlight of which was an event with Roger Federer. He really was a fantastic ambassador of Rolex, really spending time with our clients and a great representative of the brand and our clients were thrilled to be there. You can see the scores that we're getting from our client feedback, 94.5% Net Promoter Score. And of the clients that respond to your questionnaire, 98% say that we either met or exceeded their expectations. By far, the majority are saying we actually exceeded the expectations. Other events that we've done throughout the country with Rolex, and you can see they're pretty spectacular. Our clients love to be there and it really is all part of our client excellence and client-centric focus that we have. Other events, we launched fairly quietly at the AP House in Manchester with our partners at AP leading up to this event that we had in October. This space is so perfect for hospitality and events, as you can see, and really great evening. An example here of us taking over the Aventura store with Roberto Coin, bringing our top jewelry clients along. It was a hugely successful event and it's our sales teams or sales colleagues in the U.S really at their best. And another event in New York in Soho, where we launched the Porsche exclusive product. We did it with Ben Clymer effectively hosted the evening, and we had none other than Orlando Bloom there who's a great enthusiast both for watches and for Porsche, a really great combination. But it was a fantastic event, and we really had to control the number of people that were coming, huge interest and a really great example of us using new partners and connections with Hodinkee. So overall, we have strong momentum across the group. It was a standout performance in the U.S. at plus 20%. Our model is clearly working and approach to our clients, our design of stores and our training of our great teams. Our registration of interest list continue to grow with a high conversion overall. So no change on that. Certified Pre-Owned, clearly well established in line with the ambitious expectations that we had presented to the market before. Ecommerce, very strong U.S. investments that we made are clearly driving a very strong sales performance in the U.S. Great progress with Roberto Coin, a lot more to come. Great progress also with our friends at Hodinkee and we are in the process of developing some important growth initiatives with them that you'll hear more about in our fiscal '27. Great delivery, strong delivery of our catalog of projects with a lot more in the pipeline. We're well positioned for the holiday season. We're off to a good start with the 5 weeks of November and now behind us, and we'd be happy to reiterate our guidance. So let me pass it over for your questions.
Operator: [Operator Instructions] Our first question this morning is from Chris Huang of UBS.
Chris Huang: It's Chris from UBS. And I have 2 questions. The first one on your FY '26 sales guidance. I mean you commented that you started the second half in line with expectations, and you generally feel good about the holiday trading period ahead. So if we take the midpoint of the sales guidance at 8%, if my math is correct, that would imply H2 to be around 6%. But when I think about the moving blocks within the group, in theory, you should no longer see any meaningful impact from store closures in the U.K. The momentum in the U.S. seems to be still solid double digit. And at Roberto Coin, I would expect the full benefit of the price increase you did in October to help the numbers in H2. So with all of this in mind, and of course, we just started H2. But I'm just wondering if you think there could potentially be some upside for the year? That's my first question. And then secondly, generally on operating leverage. If we really look at your H1 P&L, you actually showed quite impressive OpEx leverage under control, driven by the U.S. retail channel. So I'm curious to know the level of growth you would need generally to start to see fixed cost leverage. I assume it's going to be quite different in the U.K. compared to the U.S. given the product mix. So if you could provide some regional color, please, just to help us a bit more on modeling.
Hugh Duffy: Yes. Thank you, Chris, for your questions. I'll take the first one, and Anders will answer the more complicated one on the P&L and leverage. We feel really positive about the second half that after some uncertainties around the U.K. consumer still by no means upbeat and the budget didn't help. So we'll see how that might affect behavior in the Christmas period. Similarly, in the U.S., as we've reported to the market before the consumer seem to ride over the price increases that happened over late summer. But we are moving into the more gifting season. There might be a bit more price sensitivity there. We don't have allocations yet there on a calendar year basis. So we have 4 months of the fiscal year in which we, as yet, don't know what the allocations will obviously be from our key partners. So there's still a bit of uncertainty around there. We are delighted that the tariff situation has improved from the 39% down to the 15%, but that's still a reasonable increase on landed cost of product that's coming in. And again, what might be the response from the brands. And at this point, we don't know that either. So that level of uncertainty is around. Having said that, we have started the season well and we're going to it with good momentum. But putting it all together, we feel that the prudent thing to do is confirm our guidance at this point. And obviously, we'll look forward to updating the market post Christmas.
Lars Anders Romberg: In terms of the operating leverage question, we haven't ever been that explicit. But if you look at the leverage that we get historically on our cost base, it's been the factor that's been driving our profitability over the last decade actually, and we'll continue to do so. Product mix is a factor. Obviously, the product margin is the highest cost we have in the business. So the component of Pre-Owned coming into has been somewhat diluted as a percentage. Cash-wise, it's absolutely fine. So in terms of our cost base, it's driven by inflation, obviously, and space expansion and also the 2 major factors, which were partially offset by becoming more efficient in our operations. So I'm not going to say what sales growth we need in order to get the leverage.
Operator: Next question is coming from Richard Taylor from Barclays.
Richard Taylor: Yes. I see there were some comments recently from the Rolex CEO at the Dubai Watch event regarding the relationship with retailers and how they -- basically, they have no desire to change that. Just keen to understand now that a bit of time has passed since they bought Bucherer, how you would observe Rolex's behaving with regards to their retail partners? I know there's a bit of change in the German market recently, for example, but any insights you may have more generally and obviously, the U.K. and U.S. markets in which you operate will be helpful.
Hugh Duffy: Okay. Thanks, Richard. We obviously bet as everybody did, the comments that were publicized that Jean-Frédéric Dufour made at Dubai Watch week. No surprise to us because it's effectively what we said when the acquisition was announced and we did an RNS at the time that was approved by Rolex and the news then was that this wasn't strategic, it was the acquisition was made for other reasons. And nothing would change with regards to how Rolex were managing partner relationships and product allocation and projects. And our experience since then has been exactly that. There's been no change. We obviously work hard at developing our partnership and relationship looking at a number of projects that is always very objective. The discussions that we have and everything has carried on exactly as it was, and it's what we've been consistently seeing and it's what we've consistently experienced from that relationship. So obviously a long, long relationship for our group, get back literally over 100 years. And it's a big part of our business. It's our most important partnership, and I'm delighted that we continue to make the progress that we do and, I'd say, honestly, our relationship has probably never been so good. David might want to comment on the U.S. where he manages the relationship directly.
David Hurley: I mean, again, the conversations that we had about this were when the acquisition happened, we've never had it since we've seen -- they've been consistent always in the way that they deal with us. And we've had an incredibly strong pipeline of refurbishments expansions over the last year and some new stores as well like Southdale in Minneapolis that we just recently opened, that's performing very well. Locations like Legacy West in Plano, Texas, where we didn't have Rolex originally. And we continue to have a strong pipeline of projects going forward. So no changes whatsoever.
Operator: [Operator Instructions] Now I'll go to Jon Cox of Kepler.
Jon Cox: Congrats on the figures. The print looks pretty good. A couple of questions for you. Just starting off with the U.K., and it's been pretty soft for a couple of years. I'm just wondering what your thoughts are going forward. And if you maybe believe that some of the tourists that used to come into the U.K. buying watches have gone for goods with the so-called tourism tax? Or would you be confident that eventually the U.K. should bounce back if you just look at historical trends when for a few years, the U.K. was amongst the strongest growing markets, maybe some sort of post that boom period hangover, and we should start to see a recovery at some point. That's the first question. Second question, just on the T5 Heathrow, just wondering on the sort of size of that. And well, from my own experience, going through airports, ever trying to go into a Rolex store, the room was empty anyway. And even if -- it's very difficult, obviously, we're trying to leave a name at a Rolex store at an airport. Just how we should think about it? Should we think about it as a decent sized store opening in the U.S.? Or is it anywhere near to Bond Street? Or just to give us a bit of a feel what may be happening there? And then the last one, just on -- you keep saying Rolex CPO is now the second biggest brand. I'm just always scratching my head trying to work out how much Rolex and Rolex CPO is a combo of your business. And then in addition, you have Roberto Coin where clearly jewelry is a very strong business at the moment. Just trying to get a figure or some sort of indication, Roberto Coin, Rolex, Rolex CPO, is that close to 70% of your business now?
Hugh Duffy: Thanks for your question, Jon. A lot there. The U.K. market I'd describe as having come through a real volatile period. You described it as soft. But if you look back at the kind of tail end of the second half of '23, I think we described it as a bit worse than soft, very, very high price increases. The value was what it was. But from a volume standpoint, the market really was impacted in a way that we had never witnessed before. We've come beyond that. I think the brand is very typically -- they're ultimately very pragmatic and how they look at our market, pricing has been modest, new product introductions have been good. And we see the market as very recognizable, very much normalized. We were plus 6 in the second half of last year, plus 5 in the first half of this, which we regard as clearly very, very stable and consistent. With regards to tourism, obviously, we're way down in tourism, but if you compare us to fiscal '19 or fiscal '20 when the VAT-free was effectively removed. So it's in our base. It's on our comparison numbers. We are 95% domestic in terms of our sales. So that's the category, and I think we've done amazingly well to have obviously refocused our business on domestic successfully. And our view has been consistently and remains VAT-free will come back at some point. I think the arguments on behalf of it coming back are really compelling on behalf of the U.K. economy and the treasury. And if the government keeps saying as they do that they want to support growth, then there's a gold nugget, excuse the pun, lying on a beach somewhere that they could pick up and really have an impact. So we continue to support lobbying and trying desperately to get the government to take a more serious look at it, which I do believe they will do it at some time, but hard to predict when. The new space in T5, can't confirm exactly the space. We're still working with Rolex and Heathrow. It's a very, very prominent location. It's a multiple of size versus where we are today. It's double height. It's really going to be very, very impactful. We make some product available to your point of walking into empty stores. I want to make sure that, that's not the case for this beautiful store we have. It's not quite the case today either with Rolex in T5 and T2. So we're working through all that detail, but it's going to be a really nice store. I think really part of what is a major refurbishment and upgrade that's happening with the luxury retail in T5. CPO is our second biggest brand. We had ambitious goals that we've told the market about for developing the CPO business, and we are achieving those goals, and we're only 2 years into the program. So let's see how big it becomes, but we're learning, we're developing, we're expanding presence. We're putting in more branded areas. I think very importantly, our salespeople are getting very good and very experienced at selling pre-owned. So we feel very good about it. It's a huge market in the U.S., obviously, and it's a big and growing market in the U.K., and we have a very strong position in both markets. Roberto Coin is our big focus in terms of getting into the branded jewelry category in a strong way. It's a huge market in the U.S. and Roberto is a great brand with absolutely great product. And we've got some ambitious plans as to how we're going to develop Roberto in that market. And yes, we'd expect it to become a bigger proportion. But we're not giving any numbers, and we're not obviously talking beyond the current year where we've reiterated guidance. But we will be updating the market in all these growth initiatives in due time. But so far so good in them all.
Jon Cox: I want to just follow up on the Rolex CPO. I seem to remember that long-range plan from a year or so back. I think is 20% of Rolex will be CPO in the U.S. and 10% in the U.K. by FY '28? You say that you're ahead of plan. You must be pretty close to those figures.
Hugh Duffy: What we said and where we are is that we are in line with the ambitions of that plan, and it was an ambitious plan and delighted that we're tracking very well with the expectations that we had of it. We will update the market in due time about all of our growth initiatives, as I say, so far so good in them all.
David Hurley: The other thing I would say about the U.S. numbers for the first half as well is that it wasn't just Rolex or Rolex CPO that supported the growth. You have the other part of our vintage business, but you've also got brands like Cartier, that's been our fastest-growing brand now for the last 2 to 3 years, has a really healthy mix in terms of the sales across all brands and across all price points in the U.S.
Jon Cox: You mentioned updating the market. Can I just push you a little bit on when that may be?
Hugh Duffy: We don't have an exact date yet. We have a lot going on. We are working hard with our new colleagues at Hodinkee and Roberto Coin, for example, and a lot of other projects. But as soon as we have a date, we'll obviously update the market, but we don't have an exact date yet.
Operator: Next question will be coming from Adrien Duverger of Goldman Sachs.
Adrien Duverger: Sorry, can you hear me? Thank you so much for the color you provided so far. I have 2 questions, if possible. The first one would be on your -- on the space contributions. So we're seeing an exciting pipeline of projects with both openings and relocations. I wonder if you could help us understand the expected contribution from that space growth for this year and over the midterm in the U.K. and in the U.S. And my second question would be on the margin outlook. So you reiterated the target for adjusted EBITDA margin to be flat to minus 100 bps. Could you help us with the different building blocks implied in there? Because I know that there must be some impact from some of the manufacturers taking some margin points from retail partners. There must be some impact from relatively recent acquisitions with Roberto Coin and Hodinkee. And also if you could help us understand what we should expect in terms of seasonality for this year?
Lars Anders Romberg: In terms of our space contribution, it comes down to very much allocation of products from some of our key brands, actually. So we never give space. It's less relevant in our category than you will find in most other retail formats. In terms of our margin guidance for the year, obviously, we haven't seen how some of the brands are going to respond to the tariffs. We've seen some actions taken, and we've sort of modeled out various scenarios of pricing versus margin contraction versus some pricing and no margin contraction. And I think we modeled through every possible scenario we could think of. And at this point in time, we feel that the margin guidance that we've given still holds water. We're up against some tougher comps in the second half in the U.S. We did have a few big boxes opening up. So we had Lenox in Atlanta. We had obviously Plano in Texas, and we have Jacksonville come on stream. So the comps in the second half in the U.S. market is going to be a little bit more tough. We are going to continue to spend a bit more on marketing throughout the year, which we think is driving new clients into the franchise. So it underwrites our strategic growth plans. So all good. Ecommerce in the U.S. has been off to a really, really good start and is growing exponentially. However, we're buying traffic in that sector in order to sort of reach the scale where we started to get the drop-through in terms of margin. So it's somewhat dilutive as you go through that buildup phase. And once we hook in the Hodinkee traffic, we expect that channel to become accretive.
Operator: Next question will be coming from Piral Dadhania of RBC.
Piral Dadhania: I have 3 fairly short ones. The first is on the U.K. consumer in the context of your current trading commentary. Could you maybe just give us an indication how the U.K. consumer has responded post the budget from a week or two ago? Have you seen any inflection or change in consumer behavior, change in traffic trends, change in conversion rates post that -- the announcement of the U.K. budget? The second is on capital allocation. Maybe just a word on pipeline for M&A. You spent -- your acquisition spend in the last 3 to 4 years has been fairly sizable. It does feel like you're maybe deemphasizing the contribution from future M&A. I just wanted to understand where the priorities may be in that context and whether we should expect a step down in acquisition spend in the next year or two? And if not -- and if that is the case, excuse me, then should we maybe also expect a new share buyback plan to be put in place as you think about the most efficient uses of your cash flow? And then the third and final question is just on feedback in relation to the multi-brand Mappin & Webb jewelry store concept, the multi-brand one. I think it's been a good few months now. Could you maybe just give us a couple of words on how that's progressing and what learnings you can take away from that?
Hugh Duffy: Okay. Thanks for your questions. U.K. consumer, November has been fine. And like everybody, we're concerned about the budget and the delay of the budget certainly didn't help the mood of the country by any means. But post budget, it has not got any worse, I would say. And as we've reported, we've started the season well. We have November behind us and the consumers behave in a normal fashion. We did anticipate maybe a bit more interest in value. And so when we planned for the season, we had a slight nuance towards offering a bit more value, particularly online, and that is driving some good performance overall. So probably a bit more reassuring than might have been the case post budget, and the consumer behaving normally, and we are happy with the business that we started the season with. In terms of M&A, just to give you some numbers, I mean, at the end for fiscal year '25, business split down in the U.S., 37% of the business was what we bought, then 36% was us having double the value of the acquisitions. So the sales of the acquisitions that we had made and then the balance was effectively from new projects. So as we go forward, over $1 billion now in the U.S., obviously, as we go forward, acquisition remains a key part. We love what we've done with Roberto Coin and Hodinkee, great people, great businesses and great complements to our portfolio. And we have big plans that we'll look forward to updating the market on when the time is right. And we remain active on strategic acquisitions. We have always had and we still do have active discussions that are going on. There's a bit more realism or pragmatism, if you like, with regards to valuations. And we've got a bit confident that acquisitions will be a key part of our growth in the U.S. market. Share buyback, Anders.
Lars Anders Romberg: Yes. I mean, obviously, as you've seen, we're guiding towards GBP 65 million to GBP 70 million of CapEx in our existing franchise and new projects during this year. And that whole reset of our network is going to come towards the tail end once we finish off our next fiscal year. And as a result, the need for capital expenditure in that network is going to decline as a percentage of sales as we go forward. So yes, I mean, we always look at deployment of our capital structure, and we are a growth story, and we continue to focus on that. In case we can't find any way to deploy our funds meaningful with good returns, then yes, share buybacks would be an option. It's something that we always discuss with our Board.
Hugh Duffy: And your last question, so we love the stores that we opened in St. Ann's, the Mappin & Webb branded jewelry store, a fabulous team that we appreciate. Our team did a great job, I think, in recruitment and training of the team, great client response. Sales are building and obviously, the month of December is going to be very important. But clients love the store. They love the downstairs area where we've got hospitality and client engagement, and a fantastic portfolio of brands, many of which have never been available outside of London before. So we feel very good about it.
Operator: We'll now move to Kate Calvert of Investec.
Kate Calvert: A couple for me. First question on Roberto Coin. You mentioned a positive response to the new ranges. Could you give a bit more color on what has gone down well in the new ranges? And I'm just wondering, how current is the stock in the wholesale channel? I mean is there much old stock in there? Or is it quite clean at the moment from your perspective? And I suppose I'm quite interested in your sort of slightly wider thoughts on the U.S. jewelry market running into Christmas. I know it's a slightly different offer to Signet, but Signet were recently a bit more cautious on outlook for the holiday season. So I was wondering if you could give a bit more color on that. And then my final question is on the U.K. that you did see quite a negative mix effect from pre-owned growth, I believe. So as you continue to roll out the Rolex and Pre-Owned should we expect that negative effect to continue into FY '27 or are we past the worst of it?
Hugh Duffy: Okay. Okay. Do you want to comment on there?
David Hurley: Yes. I mean first of all, in terms of the ranges or what's working, quite honestly, everything has been working at the moment in the first half of the year. We've got such a wide range of products and price points. And we're proving it in our own stores first with the space expansions that we've done and elevating of the brand more than doubling the sales in the first half, and we've seen a great positive response to new products that's gone out there as well in terms of aging of product. We have no concerns in that area at the moment, either in our stores or with our partners. And it's just -- we're really still in our infancy in terms of what we can do with Roberto Coin. So we've proven it first in our own stores, but we've more than doubled the sales, and there's a lot more to do just within our own multi-brand environment. We've opened up our first store in Hudson Yards. We open up our second tomorrow, I think, in Vegas. We're going to continue. And I think it's an open door with some of our partners to expand the brand within the wholesale network as well. It just takes time in terms of green spaces and then building out the shop-in-shops. We've only just launched robertocoin.com. We've seen a positive response to that as the replatforming of that from the old system to Shopify. So a great response to the marketing campaign. So we're very, very optimistic about the brand. I think going through the holiday season, but more particularly in the longer term as we roll out our strategy.
Hugh Duffy: Yes. And the package that we are able to bring to the market are putting great emphasis on the collections that Roberto and his team have designed, the 2 biggest collections are Love in Verona and Venetian Princess, and obviously a good featuring of them in the advertising campaign. So you naturally sell in more on the back of that in the sell-out of those collections, that's also super positive. The last thing is we have been in a very different market to Signet, I would say. And the luxury branded jewelry market continues to be -- it's the biggest one in the world per capita and in the absolute. We're delighted to be a part of it, and it continues to be very good. So as we've continually said, so far so good on the season, and we are reasonably upbeat about December.
Lars Anders Romberg: In terms of the U.K. mix question, Kate, obviously, yes, as we've accelerated sort of our presence in the pre-owned business that had an adverse impact on our product margin. I think the step-up that we've seen has been extraordinary in the U.K., which is positive is what we wanted. So I think it's going to slow down in terms of dilution. The offset against which we're doing really well in some of our strategic partner brands. So we've put more emphasis on a brand like Tissot for instance, which is margin accretive. And we see some really good new product initiatives coming through in some of the other brands like TAG. So I think the dilution impact on product margin is going to stabilize.
Operator: [Operator Instructions] We'll now go to Melania Grippo of BNP Paribas.
Melania Grippo: This is Melania Grippo from BNP Paribas. I've got 2 questions. One is on your waitlist. I was just wondering if you have seen any changes in terms of consumer behavior and customer signing on it? And my second question is instead on price increases for 2026. What's your expectations in terms of brands increasing their prices for both watches as well as jewelry?
Hugh Duffy: On -- sorry, the first question was on registration of interest list. No big change to be honest. In the U.S., we continue to, net-net, add names overall and pretty much all of the business if we so desire in the U.S. could be going to people around the list. I think as we've reported to you before, we have some products in the U.K. that are not fully dependent upon the list. We make some availability of our product in the stores, somewhere between 15% and 20% of the sales that we're now doing is from stock that's in-store, which is a very healthy trend as far as we are concerned. So I mean, demand overall for the brands that we manage through our waitlist remains very, very strong overall. Price increases, yes, we've got to see what the brand response is going to be to the 15% tariffs. I think it's reasonable to assume that the pricing is going to be an element of it. The 15%, if you're going to recover it all through our retail pricing, it'd be somewhere around 7.5%, 8%, something like that. We really don't know at this point. But I think it's reasonable to assume that pricing is going to be there, will it all be in the U.S. or will it more likely, I think, be a spread in different markets. I think probably that's the case. But we don't assume any pricing in our numbers going forward. But yes, my bet would be that will definitely be pricing activity as it always has in January, but it will take into account the tariff situation.
Operator: As we have no further audio questions, [ Scott Lichten ] , we're going to call over to you for any questions submitted by webcast. Thank you.
Unknown Executive: Thanks very much, George. And we've had a few questions submitted through the webcast. First is from Deborah Aitken from Bloomberg. The question is, U.S. markets, profitability has grown quickly, considering the company is still deep in restructure and expansion. Can you give us your midterm view on profit potential from the U.S. market given it's less mature and with jewelry still to build its share in your total revenue mix there?
Hugh Duffy: What I would say is we really have moved beyond the period of having to build our organization resources in the U.S., support from the U.K. We clearly have done an amazing job to go from pretty much nothing to the $1 billion business that we have today. We have invested in resources with our head office down in Fort Lauderdale and offices up in New York, and a very obvious example of that clearly is localizing the ecom team that we were previously supporting out of the U.K. But we've really added to the resources and the infrastructure and feel very, very good about how the business has been managed on a day-to-day basis. We've obviously got our best man on here, the guy to my right. But they're really doing a great job. And our team between the U.K. and the U.S. teams, how we've managed the growth of supporting our business and the operational excellence that we achieved, really I'm very impressed by and very, very pleased with. We will, again, we'll talk to the market about where we are headed going forward. We wouldn't give any midterm indications today, but it's 61% of our profits now coming out of the U.S. There clearly has been leverage at the store level with the strength of the market and the market share gains that we've made. And it's a great growth prospect for us both in terms of top line and profitability.
Unknown Executive: Follow-on question from Deborah. Can you share with us plans with some of your key brands pipeline and projects and timings? And are any areas which have not delivered as expected, which strategy rethink might be sought in fiscal 2027?
Hugh Duffy: Yes. We prefer not to talk about sort of specific projects at a brand level. We have listed the projects that we've got coming up for the current year. Looking at them as a group, we get good paybacks. Overall, it's been a cornerstone of what we've done over this last 10, 11 years, and it continues to be the case. Of course, there will be some projects that don't quite hit the expectations that we had set for. Unfortunately, there are not too many. And if we look at the overall mix of what we've achieved there are more in which we would say we'd probably overperformed versus our financial criteria than underperformed. But we would talk about specific projects that way. If you want to add, Anders?
Lars Anders Romberg: No. I think, obviously, with the acquisition of Roberto Coin and obviously, we've done the segment reporting, so you can all read. If we can get that brand to accelerate growth, of course, it's very accretive for our profitability. So there's no secret there. So that remains a high-level priority, obviously for us. And we have a few things that we are investing in that currently aren't accretive like an ecom proposition in the U.S. market that today is dilutive for profit, but long term, probably will be accretive as we have it in the U.K. So we'll see.
David Hurley: I think, yes, we're 8 years young in the U.S. Some of our stores are only opened a couple of months. We're continuing to develop our client base. We're continuing to understand better and better what they need. We're continuing to add new clients. We're making sure that for the super high demand product that we have, where we're giving a significant percentage to new clients. So a lot more that we can do to develop that events have been continue to deliver more and more in terms of ROI. We did some fantastic events this year. Brian mentioned the Porsche event, the Venetian Ball that we did with Roberto Coin just at the end of the half. And there's still some. Brian talked about the growth that we've got from obviously, acquisitions and then how we've developed them. And some of the acquisitions that we've done, we've yet to fully mature. Betteridge, for example, we've refurbished one of the stores in Vail, which is fantastic. But we still have the full story in Greenwich to do. Aspen to do as of yet. And Hodinkee and Roberto Coin are obviously just in very early stages. So just a matter of planning it out and executing it.
Unknown Executive: Super. We've got -- that's the end of the questions we have at the present time. Maybe, Brian, if we could hand back to yourself for closing remarks.
Hugh Duffy: Okay. Thank you. Thank you, David and Anders, as well, thanks for all your questions. We are really pleased about our first half, pleased about our start of the second half overall. I think it's clear that the category that we're in is a very resilient category that we can see here in the U.K. It's an underdeveloped category in the U.S. I think that's clearly proven and very much responding to investment from us and others in the market and very well positioned for growth. So very happy at what we've done, happy about the start of the second half, delighted with the job that our teams are doing across both our markets, U.K. and U.S. And I appreciate you all joining us this morning. Thank you.